Operator: Good day, and welcome to the Xcel Energy First Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I'll turn the conference over to Mr. Paul Johnson, Vice President of Investor Relations. Please go ahead, sir.
Paul A. Johnson - Xcel Energy, Inc.: Good morning, and welcome to Xcel Energy's 2017 first quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; and Bob Frenzel, Executive Vice President and Chief Financial Officer. In addition, we have other members of the management team in the room to answer your questions. This morning, we will review our 2017 first quarter results and update you on recent business and regulatory developments. Slides that accompany today's call are available on our webcast. As a reminder, some of the comments during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. I'll now turn the call over to Ben.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, thank you, Paul, and good morning, everyone. Bob will discuss our quarterly results and provide a regulatory update. I want to give you a quick update on our steel-for-fuel program. We've made excellent progress on our steel-for-fuel strategy, and have proposed adding almost 3,400 megawatts of new wind to our systems by 2020. In addition, we plan to own more than 80% of this new wind generation. Let me give you a quick update on our major initiatives. As we've previously discussed, the Colorado Commission approved our 600-megawatt Rush Creek wind project in 2016. Rush Creek is progressing as planned and is expected to go into service in 2018. In Minnesota, we recently proposed adding 1,550 megawatts of new wind generation, which reflects ownership of 1,150 megawatts and power purchase agreements of 400 megawatts. We have requested that the Minnesota Commission approve this proposal no later than July. Finally, we also recently proposed adding 1,000 megawatts of self-build wind and 230 megawatts of power purchase agreements in Texas and New Mexico. We have requested that the commissions approve these projects and associated recovery mechanisms by the end of the year. As a result of our safe harbor actions in 2016, we're able to secure 100% of the production tax credit benefits and maximize savings for our customers. Based on current forecast, we estimate billions of dollars of savings over the life of these projects, which will offset the capital cost to the benefit of our customers. In addition to the financial benefits, we expect to continue our long trend of decarbonization and realize CO2 reductions of at least 45% by 2021. These are very exciting times for Xcel Energy as we continue to transform our fleet in a cost-effective manner. Our continued commitment to carbon reduction and renewables growth has once again been recognized by the American Wind Energy Association. Just last week, Xcel Energy was named the number one energy provider for the 12th consecutive year. This demonstrates our long-term vision and commitment to environmental leadership. So, with that, let me turn the call over to Bob who will provide more detail on our financial results and outlook and a regulatory update.
Robert C. Frenzel - Xcel Energy, Inc.: Thanks, Ben, and good morning. We realized another solid quarter of earnings of $0.47 per share in 2017, compared with $0.47 per share in 2016. The most significant earnings driver for the quarter include: higher electric margins, which increased earnings by $0.06 per share, largely due to rate cases and non-fuel riders to recover our capital investments; and a lower effective income tax rate, which increased earnings by $0.02 per share. The lower effective tax rate is primarily due to wind production tax credits, which flow back to our customers. Offsetting these positive drivers were increased depreciation expense, largely due to capital additions, which reduced earnings by $0.05 per share; higher interest expenses, which reduced earnings by $0.01 per share; and other items, which, combined, reduced earnings by $0.02 per share. Weather was warmer than normal for the first quarter this year and for the first quarter of last year. As a result, our electric and natural gas margins had a combined $0.01 per share adverse weather impact as compared to last year. However, when compared to normal, warm temperatures in the first quarter reduced earnings by $0.035 per share. Despite the impact of warm winter weather, our first quarter results remained consistent with our internal budget due to our continued focus on cost management. Our O&M expenses were $9 million higher in the quarter. However, this increase was driven by $8 million of O&M expenses that were deferred from 2016 due to the timing of our Texas electric rate case settlement approval. This higher expense in Texas was equally offset by additional revenue. Our objective is to keep total O&M expenses relatively in line with 2016 expenses. We continue to focus on increasing productivity as we finish up the implementation of our new work management system across the company, which is progressing extremely well and will be fully completed by year-end. Turning to sales. On a weather and leap year adjusted basis, our electric sales improved 0.3%, reflecting approximately 1% growth in the number of customers across most customer classes and jurisdictions, offset by lower use per customer. Our first quarter sales were in line with our full-year forecast of 0% to 0.5% growth. Next, let me provide a quick regulatory update. In March, the ALJ recommended the commission approve our settlement in the Minnesota multi-year rate case. It indicated the settlement will contribute to establishing just and reasonable rates. The commission is expected to deliberate in May and issue an order in June. As a reminder, we've been collecting interim rates since January of 2016. In Colorado, we have several regulatory proceedings before the commission. In our decoupling docket, hearings are complete and we expect a commission decision in the next month or so. In our advanced grid certificate of need proceeding, we are in settlement discussions with several of the interveners and have made significant progress. As a result, we'll likely spread out the capital investment associated with advanced grid over a longer period of time to minimize the customer impact. Hearings are scheduled for May and we expect a final decision in mid-2017. Last week, the New Mexico Commission dismissed our rate case, claiming the filing was incomplete and did not include all the required jurisdictional cost information. We disagree with this assessment and feel the decision to dismiss our rate case was overly punitive. Our filing was consistent with past filings and included all the required cost allocation information. While New Mexico is a very small portion of our business, the decision is disappointing. We have filed for reconsideration and will consider our legal options. Finally, we plan to file rate cases in Colorado and Wisconsin during the second quarter. We expect decisions in these cases by year-end or early in 2018. As Ben discussed, we filed wind proposals at both NSP-Minnesota and SPS. The combination of these proposals and previously approved Rush Creek project could result in us owning an incremental 2,750 megawatts of wind generation by 2020. This equates to approximately $4.2 billion of capital investment for renewable projects for the 2017 to 2021 period, if the commission approves all projects. We'll formally update our capital forecast later in the year when we have more clarity on both the incremental wind and our advanced grid proposals. At that time, we also will roll forward our forecast to 2018 to 2022. We expect that the net effect of the new wind and advanced grid initiatives will extend our capital investment growth period, manage the customer bill impact and minimize financing requirements. This is all part of our strategy to continue to improve asset health, decarbonize our fleet and lower customer bills, which deliver long-term value for both our customers and our shareholders. With that, I'll wrap up. We posted solid results for the quarter. We continue to execute on our steel-for-fuel strategy with wind proposals, followed by NSP-Minnesota and SPS. We're on track to deliver our 2017 earnings guidance range of $2.25 to $2.35 per share, our 4% to 6% earnings growth objective and our 5% to 7% dividend growth objective. In addition, we increased our dividend 6%, consistent with our goal of 5% to 7% growth. This concludes our prepared remarks. Operator, we'll now take questions.
Operator: We'll hear first from Ali Agha with SunTrust.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Thank you. Good morning.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Good morning, Ali.
Robert C. Frenzel - Xcel Energy, Inc.: Morning, Ali.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Morning. Ben or Bob, in your original CapEx budget that you read out for us 2017 through 2021, of those $18.4 billion, at that time, there was a placeholder 9% you were calling other. Given all of these projects that you've laid out, is it fair to say it's not only the 9% other being filled by those projects, but we've actually exceeded $18.4 billion? How should I be thinking of the total cumulative number now?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, Ali, are you talking about the placeholder we had for renewables?
Ali Agha - SunTrust Robinson Humphrey, Inc.: Yes.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Okay. Well, clearly, if we get all of these projects approved and ultimately built, that would add about $700 million to that particular placeholder, that renewables placeholder. I do think it's important for you to recognize too though that there are moving parts. We'll probably extend some of our work on the advanced grid initiatives beyond 2021. In addition, we'll continue to look for steel-for-fuel. And we'll put all that together and wrap that around an updated forecast, which will come out in the third quarter. Of course, as you know, Ali, at that timeframe, we'll drop 2017 and add 2022. Recognize 2017 as a fairly heavy CapEx year for us. So I think the takeaway is, we continue to have really solid organic growth opportunities.
Ali Agha - SunTrust Robinson Humphrey, Inc.: And so, again, from a big picture perspective, as you look at all the pluses and minuses, Ben, is the CAGR that you've laid out for us still where it is roughly, or has it gone up, or how should we think about that?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I think, again it's a lot of moving parts, but I think through the 2021 timeframe, we've got more upside than anything else. But I don't think you should just take $700 million and add that to the CapEx.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. Okay. And then, Bob, also remind us, how much cushion or headroom do you have from a balance sheet perspective in terms of – if CapEx does go up, how much more CapEx can you absorb without having to hit the equity markets?
Benjamin G. S. Fowke - Xcel Energy, Inc.: I'm going to turn it over to Bob. But, Ali, we've got a great balance sheet and, as you know, we don't have to do any equity at the 2018 for CapEx in this timeframe.
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. Ali, we've reviewed this capital plan with the agencies, and they were comfortable with our financing plan. If we had any material change to our forward capital plan, we'd obviously go back and work with the agencies on the financing plan for any change in that forecast. But, right now, I think we're comfortable with where we're at. And as Ben indicated, we don't expect to issue equity under this capital plan.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Right. But, Bob, is it fair to say that there is probably some more headroom, even if that 2018 floor were higher, there may still be some more headroom for you to go above that and still not have to issue equity?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. I don't think we've pushed those analytics that far, Ali. I mean, suffice to say that if we decided to spend more capital and we had more initiatives, I think you'd have to think about the character of that capital, what years it would come in relative to our current forecast. As you know, with this wind build, we've got 2018, 2019 and 2020 are pretty high capital years for the company. So, if you're talking about adding capital in 2021 or something different, that's different than adding capital to the front end of that cycle. So I think there's a lot of moving pieces in that question.
Ali Agha - SunTrust Robinson Humphrey, Inc.: I see. And then, as you lay out in the slide deck on LTM last 12-month basis earned ROE at the opco level was 8.81%. Can you just remind us what's kind of baked into the 2017 guidance in terms of earned ROE? And how much regulatory lag would that still imply, assuming you hit your targets?
Robert C. Frenzel - Xcel Energy, Inc.: Sure. As you imply, in the slide deck, we referenced what is the regulated operating company ROE on a consolidated regulated basis of around 8.8%. That's a little bit lower than our run rate at 12/31, predominately due to the weather impacts in the first quarter. We expect 2017 to look a lot like 2016 in terms of earned ROE. And when you think about that as compared to our allowed ROEs, our weighted average allowed is probably 9.6%, so that leaves an ROE gap of 50 to 60 basis points.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. And is that a natural gap we should think about from a fictional point of view or would that be practically filled up as well?
Robert C. Frenzel - Xcel Energy, Inc.: We always try to close that gap. It's been a strategic initiative for the company for a while. Obviously, as you're building in regulatory jurisdictions that have historic test years and lag periods in rate-makings, that's going to cause some natural lag. And there's some items that cause some natural leakage. But I think that that's a focus area for the customer to continue to try and close that gap.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay.
Benjamin G. S. Fowke - Xcel Energy, Inc.: And, Ali, part of our plan always has been to go into these longer-term regulatory compacts, which allow us to more effectively, I believe, manage to the revenue streams that we've been provided. And I think we're in the early days of what we can accomplish on sustainable cost control and process improvement. Clearly, we need to take a look at what happens at the macro level with overall revenues, et cetera, but our goal is to continue to close that gap.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Understood. Thank you.
Operator: Next we'll hear from Julien Dumoulin-Smith with UBS.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. Good morning.
Benjamin G. S. Fowke - Xcel Energy, Inc.: How are you?
Julien Dumoulin-Smith - UBS Securities LLC: Good. Thank you very much. Perhaps just a follow-up on that last comment, just if I can, topical. Can you elaborate a little bit? You said early days of what we can accomplish, I think. I take that to mean that you have confidence in addressing that 50 to 60 basis points of ROE gap on a trailing basis here. Is that a fair statement? Or is that rather a statement when you were saying early days that, at least, you can stay out of rate cases or something like that? And I'll leave it there.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, it's kind of all of the above, Julien. Our vision is to continue to decarbonize and do so in a way that allows us to save customers money, which sets up the dialogue, can you stay out of rate cases. And I think there's more to come on that. I think what we're seeing in our early efforts and initiatives to really focus on cost, I mean, it makes us confident that we can keep O&M flat. Can we do more? Well, we'll see. But I think it positions us very well going forward to manage the company. And part of that successful management will be to close that gap between what we actually earn and what we're authorized to earn. And I want to make it clear that there's always going to be some structural limitations there. I mean, things that our regulators don't allow us to recover, for example, executive comp, which is very important. Not to be too silly. But we'll continue to work towards closing that, as Bob mentioned, off of an average 9.6% and I think you'll continue to see us make progress.
Julien Dumoulin-Smith - UBS Securities LLC: Excellent. Back to our regularly scheduled question. On the Colorado side, I'd be very curious; do you see the ability to expand the owned component of the wind? You've obviously scaled up your commitments in the other jurisdictions thus far. Perhaps, if not now, when would you next evaluate more of this similar fuel-for-steel component?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I think we had a breakthrough, as you know, Julien, with Rush Creek. And that's owned, and that was a departure from the past. But just to step back, I absolutely do. I think we've demonstrated that we can build and own and do so at a fantastic price point for our customers, and it's our intention to expand upon that. And I firmly believe too, as we transition to this cleaner energy future, that we are the natural owner of many of these assets and should be and, quite frankly, have earned the right to be.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. And there's no natural cadence that we should expect to come out at some point for the expansion of Rush Creek or what have you?
Benjamin G. S. Fowke - Xcel Energy, Inc.: I'm not sure about the natural cadence of timing. Well, we're going to continue to look for opportunities. We file our standard resource plans. A lot of it has to do with what's next in decarbonization. So I don't know if that's a continuous kind of thing, like a little bit each quarter, or if it's going to be a little more lumpy as we go forward. But we will be going forward and that is the overall plan.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. And just last follow-up question real quickly, a little bit of a scenario. For New Mexico, if you can elaborate, if unsuccessful in the rehearing petition here, would you simply seek to re-file at an appropriate point in time? I'm just curious, if you're unsuccessful on that route, what the next step is and the timing of that next step?
Benjamin G. S. Fowke - Xcel Energy, Inc.: To your point, first thing is hopefully get a successful reconsideration. We will look at legal options, including a petition to the Supreme Court. Julien, I don't think there's any merit to justify dismissing this case. There really isn't. But to your last point, yeah, and ultimately we'll look at re-filing the case in as quick as manner as possible to minimize the lag that we're suffering from. And I think we can do – I think all of those options can provide that pathway we need.
Julien Dumoulin-Smith - UBS Securities LLC: Excellent. Thank you.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thanks, Julien.
Operator: Travis Miller with Morningstar has the next question.
Travis Miller - Morningstar, Inc. (Research): Good morning. Thank you.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hey, Trav.
Robert C. Frenzel - Xcel Energy, Inc.: Hey, Trav.
Travis Miller - Morningstar, Inc. (Research): Hi. Wonder if you could clarify again the renewable builds. So those projects that you went through and listed at the beginning, are there any in there or are they all incremental to what you've previously announced and what was in the CapEx plan? I don't know whether I caught that.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Take that, Bob?
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. Sure. So what we discussed today was the totality of the newbuilds in each of our jurisdictions. Ben mentioned Rush Creek, that's been previously in our capital plan and was approved by the Colorado Commission, and it's under construction. We announced new wind in our Upper Midwest system, 1,550 megawatts, 750 megawatts of self-build, 400 megawatts of build transfer and 400 megawatts of PPAs. I think what was new was probably the 400 megawatts of the self-build proposal, which, as Ben indicated, could be somewhere around $700 million of capital if all of our projects were approved, in addition to the original capital program. And then, obviously in the Southwest, at our SPS Company, we had a 1,000 megawatts of self-build and 200 megawatts of PPAs. And I think all of that 1,000 megawatts of self-build is included in our capital estimates that we talked about back at EEI.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. So, Travis, maybe the way to think about it is, we were quite confident when we put that placeholder out for $3.5 billion that we would be able to find those steel-for-fuel opportunities and as Bob mentioned, for example, the self-build opportunities in the SPS jurisdictions, et cetera. But what we have found is that some of the bids were so compelling, and particularly some of the build-own-transfer bids, that not only did we fill our estimate of the $3.5 billion, but we've actually exceeded it with what is now on the table.
Travis Miller - Morningstar, Inc. (Research): Okay. I get that. Was that 400 megawatts, the $700 million incremental all in Minnesota or it's spread out across jurisdictions?
Benjamin G. S. Fowke - Xcel Energy, Inc.: All in the Upper Midwest, so it's all in the NSP.
Travis Miller - Morningstar, Inc. (Research): NSP. Okay. And then, given that you guys had pretty flat earning, even if you adjust for the weather in this quarter, what time of year this year do you get that 6%? What kind of quarter should we be looking at in terms of reaching that 6%, the annual growth rate?
Robert C. Frenzel - Xcel Energy, Inc.: Travis, with the challenging weather we saw in the first quarter, we expect – and our plan is actually expected the back half of the year to have higher earnings in the first quarter anyway. So I don't think that the weather in and of itself prevents us from achieving our earnings. In fact, we're confirming our earnings as part of this call.
Travis Miller - Morningstar, Inc. (Research): And the back half of the year being where you'd get most of that growth to reach to 6% type level?
Robert C. Frenzel - Xcel Energy, Inc.: It would be in the final three quarters, Travis.
Travis Miller - Morningstar, Inc. (Research): I was guessing that.
Robert C. Frenzel - Xcel Energy, Inc.: Obviously definitive.
Travis Miller - Morningstar, Inc. (Research): My astute analysis came at that point.
Benjamin G. S. Fowke - Xcel Energy, Inc.: ...expenses aren't recovered either but...
Travis Miller - Morningstar, Inc. (Research): Indeed. I will model that in. Okay. Thank you very much.
Operator: We'll now move to our next question that will come from Jonathan Arnold, Deutsche Bank.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Hey. Good morning, guys.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hey, Jon.
Robert C. Frenzel - Xcel Energy, Inc.: Hey, Jon.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Ben, I think...
Benjamin G. S. Fowke - Xcel Energy, Inc.: Steel-for-fuel, Jonathan. Steel-for-fuel.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: So question on that. You said, I think, that we shouldn't sort of add the incremental beyond the $3.5 billion to our view of CapEx through 2021 because some other things may move around. And you specifically mentioned that you might push out advanced grid somewhat. What's driving that? Because if – presumably, it's not going to build impact, because steel-for-fuel is going to be saving people money, right?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. Steel-for-fuel is definitely self-funding and I'd say it's a lot of money for our customers. But when you're investing in the grid, there is an impact to the consumer on that. And so we're just working, particularly in Colorado, with our stakeholders, the staff, regulators, et cetera, to make sure that the plan is within the pocketbook, if you will, on an annual basis from a customer's perspective. So we're not changing anything. I mean we're still going to move forward with all the advanced grid initiatives, but we might just go at a little bit more gradual pace. I don't think it's a major change. I just wanted to point that out to you. And we're going to continue to look for opportunities to optimize our capital spend from a consumer standpoint. At the same time, Jonathan, we continue to look for more steel-for-fuel opportunities. So the whole point there was – it's a little more complicated than just adding the CapEx to the $3.5 billion and saying that's the new CapEx forecast, which is why we update it on an annual basis, and we continue to plan to do that.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. So, that was just an example of something that you might be just re-pacing a little?
Benjamin G. S. Fowke - Xcel Energy, Inc.: I think that's fair.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. And then, you've brought it up, so what's a good timeframe to be thinking about the next round of steel-for-fuel?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I mean, we're always looking. We always have opportunities and we're working with stakeholders across the board. I mean, I don't have anything specific to report on, but there's always activity.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: And then, just finally, I don't know – one of the reasons cited for dismissing the New Mexico case was – it had to do with allocation between the jurisdictions. So I'm curious, how do you manage against that becoming an issue in the wind filing you'll be making? And have you kind of given an indication of how that cost is going to shake out between the jurisdictions?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. I don't think that really will be an issue with the wind filings. And quite frankly, I don't think it was an issue with our rate case filing. It was made an issue, to be perfectly blunt about it. And the key with these wind filings is, I think it's well-recognized that this is going to be very good for customers. It's going to be very good for regional economic development. And again, I think the amount of money that we're saving the customers, I think, justifies better regulatory recovery of not only the wind, but in general, better treatment for that region of the country, particularly New Mexico.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: And have you said how this will sort of break down in terms of who gets the largest share of that?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I mean, it's an integrated system. So just let me turn to – what is typically – I know, the wholesale, there's Texas and then there's New Mexico...
Marvin E. McDaniel - Xcel Energy, Inc.: Texas is; this is Marvin. Jonathan. Texas is about 50%, wholesale is about 30% and New Mexico is about 20%. And so that...
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: So, that would be a – is that a sensible rule of thumb to be thinking about it?
Robert C. Frenzel - Xcel Energy, Inc.: That's just a rule of thumb on the sales. And then I'd add to Ben's response about allocation. The question in the New Mexico case was finding the allocated cost drivers. The question was not with regards to how much was allocated to New Mexico. So it wasn't an issue of the cost being allocated. It was the issue of finding the information.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. Thanks very much.
Marvin E. McDaniel - Xcel Energy, Inc.: You're right. Again, we believe and it was all included in our filing.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Got you. Great. Thank you.
Operator: And now we will hear from Chris Turner with JPMorgan.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Chris?
Christopher Turner - JPMorgan Chase: Good morning. Ben, I think you had touched on this a little bit in the last question. But when we think about what – I think you anticipate it as a year-end decision for the wind at SPS. My understanding is it's not part of an integrated resource plan process, like was the case in Minnesota. So how do you think about regulatory strategy there in your ask? How do you think about rate recovery, customer bills, et cetera, there?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I know this is going to save customers money. And so our ask is that, just like the customer gets immediate savings, we should be getting immediate recovery of those investments. That's the basic premise of our regulatory ask.
Christopher Turner - JPMorgan Chase: Okay. And then, just the idea that this is a money-saving investment for customers do you think would be enough to convince the two commissions to give it a green light as opposed to a need for new generation in and of itself?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. The question will always be – I think everybody's going to be really appreciative of the customer savings, and what we have to do is convince them that there's a need to also to take care of the company and its shareholders that are putting up the capital for these investments. And that's concurrent recovery.
Christopher Turner - JPMorgan Chase: Okay. And then, switching to Colorado, I think there's two potential filings this year. How can we think about the timing and kind of other considerations there? And should we assume that the content of the electric case will be another standard three-year multi-year ask? And then, on the gas side kind of a forward-looking one-year ask, and kind of hoping to get that versus the historical test year that you've been awarded ask a couple of times?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. I would think you, on both, the effort will be to do enter into multi-year plans. If I was going to handicap, then I would say we're very confident on the electric side and cautiously optimistic on the gas side.
Christopher Turner - JPMorgan Chase: Okay. And no other changes to strategy there or indications of when you're going to file?
Robert C. Frenzel - Xcel Energy, Inc.: Chris, I think we indicated that we expect to file gas and electric probably in the next quarter or so separately but shortly thereafter each other. And so I don't think the strategy on the timing of the filing is any different than what we've previously communicated.
Christopher Turner - JPMorgan Chase: Okay. Great. Thanks.
Operator: And our next question will come from Andy Levi with Avon Capital Advisors.
Andrew Stuart Levi - Avon Capital Advisors LLC: Hey. Good morning.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Morning, Andy.
Andrew Stuart Levi - Avon Capital Advisors LLC: How are you guys doing? I think most of my questions were asked. One question. When may you possibly revisit the long-term earnings growth rate, if you do at all?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, we'll periodically look at it. I will tell you, Andy, that we're certainly positioned in this period to be at the upper end of that 4% to 6%.
Andrew Stuart Levi - Avon Capital Advisors LLC: Okay. And do you review that on an annual basis? Would that be something maybe when you come out with your new capital plan that you would take a look at it?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. I mean, there's no set timeframe. So it's – we look at it periodically and when we feel it needs to be adjusted, if it does need to be adjusted, we react accordingly.
Andrew Stuart Levi - Avon Capital Advisors LLC: Okay. And then the second question I have is just – and you've alluded to it and then there was some Q&A on it too. But just on the cost savings potential or in the sense making the company more efficient, it sounds like you're in kind of the early innings for that. Is that kind of a good way to categorize it?
Benjamin G. S. Fowke - Xcel Energy, Inc.: I'll let Bob answer it.
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. Andy, that's a good way to characterize some of the initiatives we have in progress, including our productivity through technology initiative. But, as you know and are well aware, we've held our O&M costs flat for the past three years and our guidance is to keep them in that range. And so, as we continue to look at different ways to continue to bend the cost curve, whether it's through supply chain, commercialization efforts or technology that drives efficiency, you should expect the company to continue to look for opportunities to continue to bend the cost curve.
Andrew Stuart Levi - Avon Capital Advisors LLC: Okay. But, again, but just timing-wise, I guess you've been doing it for a while, but then what you continued to find opportunities and I guess part of that is based on new technology and things like that. Is that correct?
Robert C. Frenzel - Xcel Energy, Inc.: I think that's a fair way to characterize. I mean, we do have structural cost increases in the company, whether it's bargaining unit labor agreement or other labor merit and inflationary pressures or third-party contractual arrangements that may have inflators in them. So we constantly have to bend the cost curve just to stay flat and we're very aggressively attempting to do that.
Andrew Stuart Levi - Avon Capital Advisors LLC: Okay. Thank you very much.
Operator: And now we'll hear from Steve Fleishman with Wolfe Research.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Steve?
Steve Fleishman - Wolfe Research LLC: Yeah. Hi. Good morning. Most of my questions are answered. Just a technical question with the build-own-transfers. Could you just talk a little bit about how the kind of AFDC and kind of earnings profile of them are the same or different versus just normal rate base? Is it more just when you actually transact at the end?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yes. Steve, that's the right way to look at it. On the build-own-transfer, we won't earn AFUDC under construction. It's just a capital transfer at the close of the transaction.
Steve Fleishman - Wolfe Research LLC: So both the cap, yeah?
Robert C. Frenzel - Xcel Energy, Inc.: You'd only earn AFUDC if there's a progress payment. And we don't really have progress payments in these projects.
Steve Fleishman - Wolfe Research LLC: Okay. So both your earnings and financing will all come right at the end because you're not financing anything either as it's being built? Okay. Thank you.
Operator: Ladies and gentlemen, this will end your question-and-answer session. I'll turn the call back over to Bob Frenzel, CFO, for any closing remarks.
Robert C. Frenzel - Xcel Energy, Inc.: Well, thanks, everybody, for your time today. If you have any follow-up questions, please don't hesitate to give our Investor Relations department a call.
Operator: With that, ladies and gentlemen, this does conclude your call for today. We do thank you for your participation and you may now disconnect.